Operator: Good morning and welcome to UMB Financial Third Quarter 2021 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note that this event is being recorded. Now I'd like to turn the call over to Ms. Kay Gregory, Investor Relations. Please go ahead.
Kay Gregory: Good morning and welcome to our third quarter 2021 call. Mariner Kemper, President and CEO and Ram Shankar, CFO, will share a few comments about our results. Jim Rine, CEO of UMB Bank and Tom Terry, Chief Credit Officer, will also be available for the question-and-answer session. Before we begin, let me remind you that today's presentation contains forward-looking statements, all of which are subject to assumptions, risks and uncertainties. These risks are included in our SEC filings and are summarized on Slide 43 of our presentation. Actual results and circumstances may differ from those set forth in any forward-looking statement. Forward-looking statements speak only as of today and we undertake no obligation to update them unless required by securities laws. Our presentation materials and press release are available online at investorrelations.umb.com. Now I'll turn the call over to Mariner Kemper.
Mariner Kemper: Thank you, Kay and thanks everyone for joining us today. We continue to see the benefits of our diverse business model, which helps us drive key points of our investment thesis above peer loan growth, solid net interest income and strong fee income contributions. For the third quarter we posted 15.3% average loan growth on a linked-quarter annualized basis, excluding PPP balances. Asset quality remain strong, with net charge-offs of just seven basis points, and a $5 million negative provision for credit losses. Sentiment in our markets continues to move towards more normalized levels, while supply chain dynamics and rising material costs weigh on businesses across our footprint, pricing and customer demand led to strong loan growth. Turning to our third quarter results, net income was 94.5 million or $1.94 per share. And pretax pre-provision income on an FTE basis was 115.3 million or $2.37 per share. Slide 18 shows primary drivers behind our results, and I'll provide some high level comments and then turn it over to Ram for more details. Net interest income increased 4.3% from the second quarter driven by strong earning asset growth and controlled liability costs. Net interest margin was 2.52% versus 2.56% last quarter, impacted by continued elevated liquidity levels, reinvestment rates, core loan mix and re-pricing. We are working to deploy the excess liquidity as prudently as possible as the rate environment changes. While reported non-interest income declined for the linked-quarter, it was largely driven by unrealized mark-to-market adjustments in the equity holdings, including a $10.7 million swing to our Tattooed Chef position in the second quarter. We saw positive momentum in fund services income and bank card fees with increases of 8.5% and 7.1% respectively. Trading and investment banking income fell during the quarter on lower trading volumes after an extremely strong second quarter. Moving to the balance sheet, Slide 24 is a snapshot of our loan portfolio showing the drivers behind our loan growth. C&I led the growth in average balances this quarter as we continue to gain share across our footprint. Prospects are recognizing us as consistent, stable player in our markets. More than half of our commercial loan growth came from new customers this quarter. During the quarter we saw some return of CapEx spending. And while a growing number of middle market companies selling to private equity firms contributes to pay off. We've had success in building relationships with PE firms and are often able to participate in those purchases. Average mortgage balances increased 7.4% from the second quarter to 1.8 billion. Funded mortgage loans for the quarter were 236 million including 30 million in the secondary market. Year-to-date we've seen 53% in secondary market mortgages compared to the same period in 2020. Topline loan production as shown on Slide 25 was 905 million for the quarter outside of PPP balance changes, payoffs and pay downs were 5.9% of loans above recent levels. We do expect acquisition activity among middle market companies to continue, which makes estimating payoffs unpredictable. However, we see a robust pipeline for the fourth quarter with opportunities across all verticals. On Slide 26, we've updated our exposure to sensitive industries. We continue to monitor our hotel and senior living portfolios, which stood at a combined 885 million at quarter end representing 5.5% of loans excluding PPP. After analysis of mitigating factors, including strong sponsors and guarantors, we feel approximately 419 million or 2.6% of loans weren't closer monitoring. We've included this analysis again this quarter. However, as the economy continues to improve, this will be less of a focus going forward. Slide 27 and 28 show asset quality trends. I'm pleased with the reported seven basis points of net charge-offs for the quarter. And as I mentioned last quarter, given what we know today and the quality we see across our portfolio, we expect charge-offs to come in here at historical levels of 25 to 30 basis points for the full year of 2021. You will see that non-performing loans ticked up this quarter to 0.59% of loans in line with the third quarter of 2020. This increase was largely driven by one credit relationship. As we talked about often, we'll see peaks and valleys as we manage credit, moving them to watch list or MPAs. But our historical track record has shown limited migration to us. Moving to capital, we saw improvement in our already strong ratios, with total capital of 14.17% compared to 13.84% in the second quarter. While we returned additional capital to shareholders through the increased dividend payment announced in July, our top priority for use of capital remains supporting strong organic growth. And as market conditions allow, we'll continue to look for opportunities to augment that growth with strategic acquisitions. Along these lines, we recently announced a single branch acquisition with approximate 250 million in deposits in the Kansas City Market. Finally, we recently announced the formal launch of our Family Wealth offering. This is a registered investment advisor which focuses on providing entrepreneurial investment strategies, sophisticated tax planning and generational wealth guidance to families with significant wealth. We were already providing many of these services within private wealth management. And we decided it was time to formalize the offering, including hiring and developing a dedicated team of investment professionals. Additionally, UMB Capital Corporation, which holds our SBIC will be part of our Family Wealth offering, and will focus on investment opportunities and private equity, direct investments and other alternatives for our clients. To wrap it up, we continue to see positive momentum across the company. And I'm pleased with our third quarter performance. And I'm excited by the opportunities we see as we head into the fourth quarter and beyond into 2022. Now I'll turn it over to Ram for a few comments.
Ram Shankar: Thank you, Mariner. Net interest income of 209.8 million represented an increase of 4.3% from the second quarter. We amortized $8.8 million of PPP origination fees into income and the overall PPP contribution to the third quarter net interest income was 10.1 million compared to 12.4 million last quarter. At quarter end, our PPP balances stood at 318 million, down from 766 million at June 30. Approximately 9.3 million in unamortized fees remain at the end of the third quarter. Average earning acid yields decreased five basis points to 2.65% due to a three basis point decline in security yields and asset mix changes, including increased liquidity and a $659 million decline in average PPP balances. Our Fed account, reverse repo and cash balances now comprise 16% of average earning assets compared to 14% last quarter with a yield of 30 basis points. This increased liquidity along with core loan re-pricing pressure and mix changes drove the decline in net interest margin. We continue to deploy a portion of excess liquidity as well as cash flows from our securities book back into our AFS portfolio, driving an increase of 643 million in average balances from the prior quarter and nearly 2 billion compared to the third quarter of 2020. Looking ahead, our internal outlook for any Fed actions are in line with the current consensus for nearly 2023 increase. We remain modestly asset sensitive with more than 50% of our loan portfolio tied to short-term interest rates, and over a third of our deposits in interest free demand deposits. Actual experience when rates do rise will depend on a number of factors including the pace and source of liquidity reductions, overall size of our investment portfolio, mix shift within the deposit book, steepness of the yield curve to include the 10 year treasury yields, and the number of rate increases as pertinent to our 1 billion in pay fixed receive float swap portfolio. As we've noted in our investment thesis, we believe that our ability to grow our loan portfolio through market share gains potential to redeploy our over 4 billion in excess liquidity, coupled with opportunities to rotate within our earning asset base will also add to net interest income outperformance relative to our peers. Additionally, a few of our fee income businesses benefit from higher interest rates, such as 12b-1 money market fees in our corporate trust business. The portfolio composition and activity trends are shown on Slide 29 and during the quarter, we had cash flows of 375 million at a yield of 1.98%. We purchased 1.1 billion of securities that yielded 1.28%. Non-interest income for the third quarter was 107.9 million down 23.7 million from the last quarter driven largely by market related adjustments. The market value of our investment in Tattooed Chef, TTCF resulted in a 3.5 million unrealized loss in the third quarter compared to a 7.2 million write up in the second quarter. Additionally, as noted last quarter, our second quarter fees had included over $5 million in investment gains from liquidity events on portfolio companies held at UMB Capital Corporation. Other drivers to fee income for the quarter are shown on Slide 22. Non-interest expense trends are shown on Slide 23. Expenses increased 7.5 million or 3.7% from the second quarter to 208.9 million driven by larger performance related incentive expense and 2.7 million in operational losses. Our effective tax rate for both the third quarter and year-to-date was 17%. For the full year 2021, we anticipate it will be approximately 16% to 18%. Our tangible book value per share has increased nearly 10% during the past 12 months to $60.44 at September 30. That concludes our prepared remarks and I'll now turn it back over to the operator to begin the Q&A portion of the call.
Operator: I'll begin the question-and-answer session. [Operator Instructions] First question comes from Jared Shaw, Wells Fargo Security. Please go ahead.
Jared Shaw: Hey, good morning, everybody.
Ram Shankar: Good morning Jared.
Jared Shaw: I guess maybe first with the loan growth and outlook, good growth on an average basis, quarter over quarter. I mean, I see the slide with the pay down payoff activity. How should we be thinking about loan growth going into the end of the year? Should we - can we expect to see average growth from third quarter with the impact of PPP rolling off? Or I guess how should we think about those strong pipelines versus some of the structural headwinds there?
Mariner Kemper: Well, I think the news - this is Mariner. Good morning Jared. I think the news is similar to what we've already talked about, which is our top line growth, we expect to continue to be strong pay off pay down activity against that is unknown. This last quarter was, I think representative of a build up from the Coronavirus from last year where we got low cap rates and low interest rates. And there's some sales activity taking place within our - largely our CRE book. But otherwise, top line growth continues to look strong, obviously, ex-PPP, we continued the same trends, as we always do with our loan growth.
Jared Shaw: Okay, and then you'd mentioned some strength with PE firm customers, are you doing capital call lending with them? Or what's the type of lending relationship that that's driving?
Mariner Kemper: Well, we do, do some lending into our fund services clients, but that's not really what we're referencing, we're really talking more about M&A driven PE lending. So as kind of as companies in our portfolio or through relationships with PE firms get bought or sold. We're participating in that acquisition debt.
Jared Shaw: Okay, great. And then looking at loan yields, do you think that overall, we've sort of hit a bottom here, assuming a stable, similar rate environment? Or could there be maybe a little more incremental squeeze on loan yields?
Mariner Kemper: Things remain very competitive, as they always do. I don't know Tom, if you want to add? We're near the bottom, I suppose.
Thomas Terry: Yeah. No, I would agree with that. It's still a very aggressive environment. And I don't expect that part of it to change. If rates stabilize how are we going to define that? We may be near the bottom, but it's still always a competitive environment.
Mariner Kemper: Probably not a lot of downward pressure, but certainly remains competitive.
Jared Shaw: Okay, thanks. And then just final for me, any color you can give on that increase in CNA appeal [ph] whether it's detail on the sector, and then I guess what gives you confidence that the last content could be lower than that.
Mariner Kemper: So it is as we mentioned in the call it is one credit. What I will tell you is, which has been true for some time. I've been in credit leadership to hit UMB for 25 years, as of the two other gentlemen on the call with me today, Jim Rine and Tom Terry. And what has always been true about the way we manage credits is we're quick to take action, quick to recognize trouble and quick to manage credits. And our history is very strong and long in not seeing migration, much material migration from troubled credits to loss and we don't expect that to be any different on a go forward basis as there are peaks and valleys from time to time. And typically, very few credit, so they're not really trends in any one - it's never a trend in an industry it's usually a particular credit or two.
Jared Shaw: Okay is that in this quarter?
Mariner Kemper: We would expect full year charge-offs to remain within our tenure averages of 25 to 30 basis points.
Jared Shaw: Okay and was that growth in the factoring Unit?
Mariner Kemper: No, it is not from factoring.
Jared Shaw: Okay, great. Thank you.
Mariner Kemper: It'll be in our core portfolio.
Operator: Thank you. Next question comes from Nathan Race, Piper Sandler. Please go ahead.
Nathan Race: Yeah. Hi, everyone. Good morning.
Mariner Kemper: Good morning, Nathan.
Nathan Race: So a few questions on the income growth outlook, looks like the funds services unit is continuing to post pretty impressive growth over the last several quarters here, and I appreciate the additional breakouts on Slide 22 along those lines. But just curious, as you guys maybe look out over the next several quarters, total fee income growth has been kind of low to mid-single digit range over the last couple years. Is that still a reasonable expectation to think about for 2022? And where do you see a lot of that growth coming from across the overall composition of the year?
James Rine: Hey, this is Jim Rine. We have had great growth in the fund services area, and half of that is coming from new clients. We won't really get forward guidance on what we see for fee income. I can tell you though, through our institutional business, our public finance area is up, we anticipate additional strong growth there through the rest of the year, they're already having a record year, corporate trust is up 61% over 2020, we've continued to expand and add additional associates in that area. And we've made additional investments in our health care services area to expand our direct employer network to where we're expecting additional growth in the future there. Keep in mind, and through our fund services, as well as some of the other business, we are absent 12b-1 fees due to the rate environment. If you go back to pre-2020, we had roughly 30 million in 12b-1 fees on a run rate. So again, not providing guidance. But as rates do tick up, we would see additional fee income in that from that category as well.
Mariner Kemper: And the drivers the backdrop for all of us businesses continue to be strong. There's a lot of disruption in our competitors in the fund services business. We've been benefiting handsomely from that disruption. And we're a real strong player in the PE space, so alternatives have been very strong, right. In this low interest rate environment alternatives have been a very strong asset class. So it's a lot of growth there both in formation, as well as asset growth within our customer base. And then infrastructure, and rates all are sort of headed - real rates are headed up. And the anticipation of an infrastructure bill is speeding up activity in the public and corporate trust space. And as travel has recovered, our aviation business is also starting to see some positive outlook. So a lot of really good drivers as we look forward. And also, our mortgage business is, as we've talked in the past, we have a lot of runway, across all of our business lines. And that's true for mortgage for us too, even if purchased or re-fi - even if the re-fi business slows down on an industry wide level. Our business is so nascent, that we have a lot of opportunity and runway just within our customer base to participate in the purchase volume. And so we see some legs for our mortgage business on a relative basis, even if rates rise and re-fi business slows down along with our card business for which is for a company our size is a pretty big business. And we're starting to see some nice momentum and card spend driving interchange revenue for us.
Nathan Race: Got it, that's very helpful color. Maybe just changing gears and thinking about the trajectory of the reserve over the next several quarters. You guys are back below kind of pre-pandemic relative reserve levels as we sit here today ex PPP. How you guys kind of thinking about the need to provide for additional growth going forward kind of within the context of the charge-off outlook kind of remain in that 25 to 35 basis point range going forward.
Mariner Kemper: Ram, you want to take that.
Ram Shankar: Yeah, I mean, we're still not at pre-pandemic level. So on day one our CECL number was 85 basis points coverage. And if you look at where we are today we're close to 120, right. So they're still at the macro environment and the Moody's forecast gets better, there's going to be pressure on the allowance coverage ratio to go down further from where we are. But lot of our provision, typically, to your point happens because of the outsized loan growth that we have. So on that basis, I think our relative recapture of the reserve might be slower than peers because of that, because we continue to grow our balance sheet on the loan side. And so that'll be a good differentiating factor, if you will.
Nathan Race: Got it, makes sense. And maybe just one last one for me, any additional color on the operational loss and the other expense line item here in the third quarter? And I assume that doesn't recur going forward. But we'll just appreciate any additional color on the driver there.
Mariner Kemper: Yeah, that's something that'll - I think you see this on other income statements is bounces around a little bit. It's not regulatory. It's not a regulatory loss. It's just a typical kind of business operating type losses that we will bump into from one quarter to the next based on our business activities and breadth and depth of our business.
Nathan Race: Got it, I appreciate the color. I will step back. Thank you guys.
Operator: Thank you. Next question comes from Chris McGratty, KBW. Please go ahead.
Chris McGratty: Hey, good morning.
Mariner Kemper: Hey, Chris. Good morning.
Chris McGratty: Ram or Mariner, the deposit growth has been just off the charts. I'm interested in kind of an outlook for deposit flows particularly non-interest bearing. How much do you think is sustainable versus a little bit transitory because those numbers are pretty strong?
Mariner Kemper: It's a great question. And when you get the answer, will you give us a call? No, we're - we've benefited - I think one of the reasons ours is outsized is a mix of business, right. So we have a large commercial and institutional business. So the question - so that's certainly a big driver, which would be less transitory, right. So the growth if our asset servicing business, the growth of our new aviation trust business, the coming back of our regular corporate trust business and 12b-1 fees and so those kind of comments around corporate trust and public finance, business picking up in a rising rate environment. All of those things would be the non-transitory part of the increased levels of liquidity on our balance sheet. If you just look at the pre and the post sort of numbers, the range, right, we've got an additional four and a half some odd billion on our balance sheet. The question, right, the million dollar question for everybody is, is it $4.5 million in excess transitory liquidity or something less? We certainly believe that it's less than that because of the growth in our business lines, and the complexity of our balance sheet and income statement. Certainly, there's some experts clearly on the balance sheet. But we have internal debate ourselves really about how much there is. So I know you're looking for more than that. But I think a lot of it is going to be driven by the complexity in all of the institutional businesses adding core balances. But there's certainly some excess liquidity on there.
Chris McGratty: Okay. Yeah, it's a guess, but I appreciate the color. My follow up would be on expenses. I've heard from many of your peers this quarter, just inflationary wages - pressures, to run the business. I'm interested how you're thinking about retention in the cost to retain and also recruit. Thanks.
Mariner Kemper: Another great question, right, as we're all sort of feeling our way through this. The pressures of work from home and the regions from the coasts and they're just a competitive landscape for employment. I think it's early, right to tell - to understand some of the longer term implications of coming out of COVID. And some of the - I think, more permanent implications of the way we've been working in the last couple years. But I would say that we have seen some wage inflation and we do not believe that is transitory you can't unring that bell. But I think from a competitive landscape, we have a great culture, we were not losing people. Our voluntary turnover rate and turnover rates in general are not much different than they were prior to the period we've gone through. So we've been watching that. And so we don't feel like there's any signs on the turnover side, where we've been able to maintain and hold the people that we have. Competitively on the hiring side that's the biggest challenge, because everybody's looking and everybody's in need. But again, we feel pretty good about the culture and the strength of kind of the consistency of our company as we look to hiring.
James Rine: Yeah, Chris, Jim Rine. The one thing that we've also been just dealing with, I think most of our peers are dealing with too is just getting our mix of flexibility correctly. I think that's what associates are really looking for in the workplace right now. And that's something that we're addressing and putting a lot in being very thoughtful, with also, as much as the wage inflation. It's just what the new work environment looks like. And that's where you're going to see a lot of changes in the industry, quite frankly.
Mariner Kemper: Yeah. And we want to be a thoughtful leader in that space. So we're not going to dig our heels then. We're going to make some real changes and adapt.
Chris McGratty: Okay, and then - thank you for that. The last one would be Ram on the Triple P, can you just remind us the fees that were in the quarter, and then what's left?
Ram Shankar: Yeah, so it was 10 million in the quarter, Chris, that includes both the origination fee of interest income, we still have $9 million of fees left on the PPP program on balances about 320 million at quarter end.
Chris McGratty: Great, thanks.
Operator: Next question comes from David Long, Raymond James. Please go ahead.
David Long: Good morning, everyone.
Mariner Kemper: Hey, good morning David.
David Long: The utilization rate, can you talk about where utilization rate was here at the quarter end and how you - if you expect that to change here anytime soon.
Mariner Kemper: So it was 32 at the end of the quarter. And it ranges from 29 to 35. And I would say that the way to think about it is the average is a low for us as low 30s. And if you think about an environment where there's a lot of liquidity in the system, my take for the industry is it's likely that that liquidity gets spent first before we would see something on the higher end of our range.
David Long: Got you. Okay. And then looking at the average balances in loans, pretty good growth there in the quarter, but the period end didn't show the same. Was there some accelerated payoffs or pay downs near the end of the quarter?
Thomas Terry: Yeah, this is Tom Terry. As Mariner mentioned earlier in his comments, we're seeing a greater amount of payoffs in our commercial real estate book principally, due to low cap rates, low rate environments are either being refinanced in the non-recourse market, or there are a lot of just outright sales of commercial real estate properties. And so we are seeing a greater amount of that this year, and certainly in the third quarter than we've seen historically.
Mariner Kemper: But that point in time question though, that's just a - that's literally just a point in time - the growth - I would I pay more attention to the averages and the point in time.
James Rine: And Dave, 20, 25 has the roll off roll on, on that and you can see those numbers in there. And as a percentage of loans as Mariner and Tom both alluded to was a little elevated at 5.9% of total loans.
David Long: Got it. Okay. That's all I had. Thanks, guys.
Mariner Kemper: I might add that it wasn't asked, but it's something we're pretty proud of. We're going to have a new tear sheet coming out in a week or so on our community development and our ESG efforts. We spend a lot of time on it. We're really proud of the things we're doing. As a matter of fact, I'd say ESG is a new term really for some things that we as a company have always really cared about. We're pretty excited about that. So keep an eye out. You can go to our website, see our community development statement and within a week or so you'll see our new tear sheet where we're making sure we're getting recognized for a lot of things we've been doing by detailing them in the statement. We're doing some real neat things. We're rolling out here in December a down payment assistance program to reach into LMI neighborhoods and let help lift people up and help increase homeownership. And in our fourth quarter expenses we think that if things continue the way they have for us this year into the fourth quarter, we're likely to share some of our profits with our communities in the in the fourth quarter, as we have been doing. And anyway, we're real proud of what our team is doing and where our company's doing to make a difference and in the communities we're serving. And we'd love for you all as investors to take a look at what we're doing on our website. And keep an eye out for those efforts going forward. Thanks for everybody joining today.
Kay Gregory: It looks like we have no further questions. Thank you, everybody for joining us. The replay will be on our website shortly. And as always, you can contact UMB Investor Relations at 816-860-7106 with any follow up questions and we appreciate your interest and time. Thank you.
Operator: Thank you. Conference is now concluded. Thank you for attending today's presentation. You may now disconnect.